Operator: Good day and welcome to the TransUnion Second Quarter 2024 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Greg Bardi, VP of Investor Relations. Please go ahead.
Greg Bardi : Good morning and thank you for attending today. Joining me on the call are Chris Cartwright, President and Chief Executive Officer, and Todd Cello, Executive Vice President and Chief Financial Officer. We posted our earnings release and slides to accompany this call on the TransUnion Investor Relations website this morning. And they can also be found in the current report on Form 8-K that we filed this morning. Our earnings release and the accompanying slides include various schedules, which contain more detailed information about revenue, operating expenses, and other items, as well as certain non-GAAP disclosures and financial measures, along with the corresponding reconciliation of these non-GAAP financial measures to their most directly comparable GAAP measures. Today's call will be recorded and a replay will be available on our website. We will also be making statements during this call that are forward-looking. These statements are based on current expectations and assumptions and are subject to risks and uncertainties. Actual results could differ materially from those described in the forward-looking statements because of factors discussed in today's earnings release, in the comments made during this conference call, and in our most recent Form 10-K, Form 10-Q, and other reports and filings with the SEC. We do not undertake any duty to update any forward-looking statement. With that, let me turn it over to Chris.
Chris Cartwright : Thank you, Greg. And let me add my welcome and share our agenda for the call this morning. First, I'll provide the financial highlights for our second quarter 2024 results. Second, I'll discuss OneTru and how we're modernizing our technology and product platforms. Finally, Todd will detail our second quarter results, along with our third quarter and full year 2024 guidance. Now, in the second quarter, TransUnion exceeded guidance across revenue, adjusted EBITDA, and adjusted diluted EPS. Given the strength in the quarter and recent large breach remediation wins, we're raising our full year 2024 guidance, which Todd will detail later. We expect a strong year for both revenue and earnings growth. With that said, we are maintaining our conservative guidance posture due to ongoing macroeconomic and geopolitical uncertainties. Revenue grew 8% on an organic constant currency basis, above our 5% to 6% guidance. Our organic constant currency growth, excluding mortgage, of 4% also exceeded our expectations. In the U.S., we experienced muted, but stable lending volumes that were consistent with the first quarter and well below historical trends. Consumer finances in the U.S. remain broadly healthy due to continued low unemployment and some real wage growth, but pressures on lower income consumers have led to waning spending activity. Inflation slowed in the quarter after a modest tick-up at the start of the year, and market expectations are for the Fed to start lowering interest rates later in the year. Consumer delinquencies rose slightly for mortgages and auto loans, but have begun to stabilize for credit cards and personal loans. Our U.S. market segments grew 6%. Financial services was up 11%, led by 50% plus growth in mortgage. Emerging verticals grew 4%, driven by strength across insurance, public sector, tech, retail, and e-commerce, and media. Within U.S. markets, NeuStar also delivered another solid quarter. Trusted Call Solutions continues to lead the way, growing more than 40% with positive contribution across our verticals. NeuStar delivered mid-single digit growth in the first two quarters of the year and remains on track for mid-single digit growth in 2024. Consumer Interactive declined 1%, as expected, and we believe we're closer to an inflection point to return Consumer Interactive to sustainable growth, supported by strong identity protection and breach wins, and progress in stabilizing our consumer direct offering. Our international segment grew by 14% on a constant currency basis. The 13th consecutive quarter of double-digit growth. India led with 27% growth, while Asia Pacific, Latin America, Canada, and Africa all grew double digits. And finally, we prepaid $80 million in debt during the quarter and intend to make further prepayments in the second half of the year. We also completed a debt refinancing to extend our maturity profile and reduce our interest expense. We made strong progress with our technology modernization in the second quarter. Slide 5 illustrates how we're aligning TransUnion around a new global technology platform and solutions. By consolidating our powerful yet independent products into integrated suites on a next generation technology foundation, we believe that we can accelerate innovation, reduce cost, and leverage our solutions across our regions to drive revenue. Now to orient you on this visual from the bottom up, OneDev is the internal name for our new technology infrastructure operating system. OneDev standardizes our infrastructure services and developer tools in a single foundation to reduce cost and increase engineering productivity. In fact, it's the primary driver of our technology modernization savings. Built off of OneDev, OneTru is our core solutions enablement platform, which centralizes our common product services of data management, identity resolution, analytics, and delivery. OneTru is a key driver of innovation and revenue growth. And leveraging OneTru, our solutions are being integrated into end-to-end product suites under single brands, such as TruValidate fraud prevention and TruAudience marketing solutions. These integrated suites deliver dramatically better performance within clear global brand families. I'll now further explain how each technology layer creates value across the enterprise and share some examples of the benefits we've already delivered in our TruValidate fraud suite and Factor Trust alternative lending product. Now OneDev builds upon the success of Project Rise to create a global technology foundation common across our applications, reducing complexity, saving costs, and freeing engineering resources for innovation. OneDev creates a single technology operating plane that is cloud agnostic, preventing supplier lock-in. It also standardizes our developer utilities, creating a one-trans-union way for managing security, compliance, capacity provisioning, and software deployment. In addition to improving our developer productivity, OneDev will help us rationalize third-party software and other legacy technology costs. We will continue to operate our own private cloud infrastructure for certain applications where the economics are more attractive. OneDev provides the foundation for OneTru, which is our central data management, identity, and analytics hub. The platform standardizes the process of transforming raw data into actionable intelligence and deploying it within our product suites. This also allows our product specialists to focus on the data and analytic customization and workflow functionality needed to create innovative products. Let me detail the key processes that OneTru standardizes. OneTru integrates our data assets in credit risk, marketing, and fraud prevention into a unified data management environment. We embed strong permission and compliance controls to separate our credit and non-credit data. Our data scientists have easy access to our full complement of proprietary and public data for rapid, cross-functional development of insights. OneTru identity graphs link our offline and online data together for a consistent view of consumer identity, helping customers to reliably resolve identities across product lines and use cases. By servicing clients across risk, marketing, and fraud services, we participate in a broad feedback loop that reinforces our identity capabilities. OneTru Analytics Services consolidates and standardizes our tools and models in a single interface for use by our internal teams and customers alike. As new capabilities emerge, such as artificial intelligence or machine learning as a service, we can deploy these capabilities rapidly and at scale. And finally, OneTru's delivery layer leverages consistent and configurable technology for seamless delivery of our data and intelligence to customers for easier product upgrades and cross-selling. Now, I want to reinforce that OneTru already powers Heritage NeuStar marketing and fraud products, as well as our new enterprise identity graphs, our innovation labs, and our internal analytics environments. We're also launching a number of new products on OneTru this quarter, including TruValidate Fraud Prevention, TruAudience Marketing, and a number of enhancements to our advanced acquisition suite. We plan to continue this rapid pace of innovation and modernization over the next 18 months as we further refine and scale this platform. Now, TransUnion products will be integrated into broader functional suites built upon the world-class capabilities of the OneTru platform and then taken to market using the Tru portfolio brands. Over the last few years, we've organized our broad range of B2B products and our multitude of brands into several global product families. These global brand families clarify our offerings, they demonstrate the breadth of our capabilities, and make it easier for customers to find what they need. We continue to leverage our core competency in consumer identity to expand further beyond credit and risk into marketing and fraud prevention use cases. And we'll measure the success of our technology and product platform strategy in terms of driving better growth across credit, fraud, and marketing, as well as delivering on our cost savings targets. In the interim, we are tracking progress toward improving our product quality, our time to market, and the pace of innovation. So let me briefly spotlight the benefits that we're already seeing with TruValidate and FactorTrust. Our integrated TruValidate suite, powered by OneTru, combines our comprehensive identity data along with fraud signals from a range of NeuStar and TransUnion products. We aggregate the signal in our single platform where we apply advanced analytics to extract deep insights. The predictive uplift from consolidating all of our fraud signals and analytics onto OneTru has been notable. When we compare OneTru to our current in-market offerings, we see a 30% plus increase in fraud detection, along with a 75% decrease in false positives. This enhancement enables customers to better protect themselves while providing a friction-right experience for consumers. Now we're nearing the end of our beta testing for our first release with select customers. The initial results are extremely positive. We expect the first general release to be available later this quarter. Our fraud product suite serves thousands of customers today around the world and represents roughly $300 million in revenues last year against a multi-billion dollar addressable market. We aspire to be the customer's first call for fraud mitigation, and we see a substantial opportunity to gain market share with our integrated suite, which we know performs much better than the patchwork of point solutions so many customers use today. We're also in the process of modernizing FactorTrust, our short-term lending bureau within our TruVision suite, to OneTru over the course of 2024. The FactorTrust modernization serves as proof of concept of how OneTru can enhance our credit bureau capabilities across batch, online, and analytics. We're already taking foundational steps to migrate our core U.S. and Indian credit bureaus to OneTru starting early in 2025. OneTru is improving the speed and efficacy of FactorTrust, which we believe will strengthen our competitive positioning in the short-term lending space. We're seeing substantial improvement in the speed of batch processing from 24 hours to one hour, allowing faster on-demand retrospective analyses. Additionally, OneTru's modern delivery layer allows us to deliver enhanced data attributes and model upgrades seamlessly with improved model deployment, self-service analytics, and batch capabilities. We see opportunity for a near-term upgrade cycle, followed by more frequent and ongoing upgrades, strengthening our position for more competitive wins in the future. We look forward to continuing to update you on how OneTru platform is driving innovation across our product lines over the next several quarters. And now I'll hand it to Todd to provide further details on our second quarter financial results and our updated full year 2024 outlook. Todd?
Todd Cello : Thanks, Chris, and let me add my welcome to everyone. As Chris mentioned, in the second quarter, we exceeded our guidance on all key financial metrics. Mortgage drove roughly half of our $15 million of revenue outperformance. The other half of outperformance was broad-based, principally in emerging verticals and international. Second quarter consolidated revenue increased 8% on a reported basis and organic constant currency basis. There was no impact from acquisitions and an immaterial impact from foreign currency. Our business grew 4% on an organic constant currency basis, excluding mortgage from both the second quarter of 2023 and 2024. Adjusted EBITDA increased 11% on a reported and constant currency basis. Our adjusted EBITDA margin was 36.2% at the high end of our expectations and up 115 basis points compared to the year ago quarter due to flow-through on revenue growth and realization of transformation cost savings. Adjusted diluted EPS was $0.99, an increase of 15%. Adjusted tax rate for the quarter was 23.4%. Finally, in the second quarter, we took $33 million of one-time charges related to the next phase of our transformation program, $15 million for operating model optimization, and $18 million for technology transformation. We incurred $76 million of one-time transformation expenses in the first half of the year and expect to incur approximately $200 million throughout 2024, driving at least $65 million of in-year operating expense savings. As part of our $355 million to $375 million program, we expect the remaining $75 million to $95 million of one-time expenses to be incurred in 2025. Looking at segment financial performance for the second quarter, U.S. markets revenue, which includes Consumer Interactive, was up 6% compared to the year ago quarter. Adjusted EBITDA for U.S. markets was up 9%, and adjusted EBITDA margin was up 120 basis points to 39%. Our U.S. market segment benefited from a sequential increase in realized transformation cost savings. Financial services revenue grew 11%. Excluding mortgage, financial services revenue was down 2%. Trends were consistent with the levels seen in the first quarter. We continue to outperform softer volume activity driven by new business wins and successful cross-sell, including with NeuStar Solutions. In the third and fourth quarter, we expect improving financial services ex mortgage growth rates as comparisons ease in the back half of the year. Our credit card and banking business was down 2%. Activity remains tempered as lenders balance improving deposit basis and stabilizing delinquency rates against mixed consumer confidence. We are enabling our customers to navigate the current environment and position themselves for future growth with highly relevant products such as Trusted Call solutions, TruIQ's analytical suite, and our marketing solutions. Consumer lending revenue declined 3%. Fintech online activity remains muted but stable with a modest uptick in batch marketing. The short-term lending space remains soft. We continue to see wallet and new logo wins across both fintech and short-term lending as well as expanding new customer use cases. Our Auto business grew 3% despite continued headwinds in the auto market driven by our innovative credit solutions and new wins in Trusted Call Solutions. New vehicle sales continue to grow modestly but there remain affordability challenges across the market from higher interest rates in still high used car prices. We expect similar trends to persist throughout the year. For mortgage, revenue grew 53% against inquiry volume declines of 11%, modestly better than our expectations. We saw good prequalification volume supported by healthy shopping activity while mortgage originations remain down and significantly below historical averages. On a trailing 12-month basis, mortgage represented about 9% of total TransUnion revenue. Emerging verticals grew 4% in the quarter led by insurance, public sector, tech retail and e-commerce, and media, offsetting modest declines in telco and tenant employment. Insurance grew 6% as market trends progress as anticipated which we expect to support growth acceleration in the second half of the year. Insurers are gradually increasing marketing activity as rate adequacy improves, driving demand for our credit-based marketing solutions as well as our suite of identity-based data hygiene, audience and analytic solutions. Consumer shopping activity remains strong. We continue to have a robust new business pipeline, particularly across our TruVision Driving History suite as well as cross-sell of Neustar and Sontiq Solutions. Public sector grew double digits with strength across credit, communications and fraud solutions as well as favorable project timing. Media and tech retail and e-commerce both grew mid-single digit. The overall marketing backdrop remains muted but stable and we delivered good growth in Trusted Call Solutions and our risk products. Elections grew modestly while telco and tenant and employment declined low single digit. Tenant employment year-over-year declines dissipated and we expect growth in the second half of the year as we lap the impact of our product recalibration and ramp recent new business wins. Turning to Consumer Interactive, revenue decreased 1%. Our indirect channel grew, benefited from continued breach wins. Our direct business declined as expected as we work through the impact of our recalibrated marketing strategy. For my comments about international, all revenue growth comparisons will be in constant currency. For the total segment, revenue grew 14% with five of our six reported markets growing by double digits. Adjusted EBITDA margin was 42.8% up 120 basis points. Now let's dig into the specifics for each region. In India, we grew 27% on top of 35% growth in the prior year second quarter. We grew strongly in consumer credit, commercial credit, fraud, marketing and direct to consumer, supported by healthy market trends. Our UK business returned to growth up 4% in the quarter. UK market continues to stabilize with improving inflation figures and expectations for lower interest rates, supporting gradually improving banking and fintech activity. Additionally, our consumer offerings as well as our insurance and gaming verticals drove strong performance. In Canada, we again delivered strong performance, growing 12% against flattish market volumes. Growth was broad based, benefiting from share gains and batch sales and financial services, strengthened insurance, and recent consumer indirect and breach wins. Into the second half of the year, we anticipate some deceleration in our growth rate in Canada as we lap sizable new business wins, but expect to deliver healthy and market leading performance. In Latin America, revenue growth accelerated to 13% with broad-based growth across regions. Colombia grew double digits, and we're starting to see the improving fintech growth after a period of retrenchment. Brazil also accelerated to double-digit growth driven by improving new business win momentum. In Asia Pacific, we grew 14%, led by very strong growth in the Philippines and another solid quarter in Hong Kong. Finally, Africa increased 10% with broad-based growth led by our retail vertical. Turning to the balance sheet. We ended the quarter with roughly $5.2 billion of debt and $543 million of cash on the balance sheet. We finished the quarter with a leverage ratio of 3.3 times. We made an $80 million debt prepayment in the second quarter and expect to make further prepayments over the course of 2024 with excess free cash flow after funding our transformation initiatives. Remember that we expect roughly $280 million of accrued onetime transformation expenses from the fourth quarter of 2023 through the end of 2024, with the majority paid out this year. In the quarter, we also successfully completed debt refinancing to extend our maturity profile and reduce our interest expense. We refinanced $1.5 billion of our $2.2 billion Term Loan B5 into Term Loan B8 as well as our entire Term Loan A and revolving credit facility. We extended the maturity of the portion of our Term Loan B5 from 2026 to 2031 and our Term Loan A and revolving credit facility from 2028 to 2029. Additionally, we successfully removed the credit spread adjustment for the portion of our Term Loan B5, Term Loan A and revolving credit facility. Since announcing our Neustar acquisition, we have voluntarily prepaid $1.6 billion while executing on three refinancing transactions to lower our interest expense and extend our maturity profile. Net of our swaps, our all-in average effective cost of debt at today's rates is roughly 4.9% below the current SOFR rate. You can find two slides on our debt profile in the appendix of our presentation. Based on our expectation for adjusted EBITDA and cash generation, we expect our leverage ratio to be in the low three times range by the end of 2024. We continue to work towards our leverage ratio target of under three times. We do not view 3 times as an ending point for deleveraging and view debt prepayment as an attractive use of cash. Turning to guidance. We are pleased with our outperformance over the first six months of the year, but our approach remains unchanged. We continue to assume muted economic growth throughout 2024 with steady lending volumes and no benefit from interest rate cuts. That brings us to our outlook for the third quarter of 2024. We expect foreign exchange to have a less than 0.5% impact on revenue and insignificant impact on adjusted EBITDA. We expect revenue to be between $1.044 billion and $1.06 billion or up 8% to 10% on an organic constant currency basis. Our revenue guidance includes approximately two points of tailwind for mortgage, meaning that we expect the remainder of our business to grow 6% to 8% on an organic constant currency basis. Included in our guidance is a roughly 4.5% benefit from recent large breach remediation wins that we expect will be realized in the third quarter. We expect adjusted EBITDA to be between $367 million and $380 million, up 3% to 7%. We expect adjusted EBITDA margin of 35.2% to 35.8% or down 90 to 160 basis points. A few nuances on third quarter margin. The impact of our lower margin large breach wins is a roughly 80 basis points drag on quarterly margins. Additionally, the impact of normalizing incentive compensation when compared to last third quarter's low levels when we had a reversal of variable compensation accrual is a little over 100 basis points drag. Excluding those items, we expect to deliver strong underlying margin expansion, benefiting from revenue growth and the realization of our transformation savings. We also expect our adjusted diluted EPS to be between $0.97 and $1.02, up 6% to 12%. Turning to the full year. We now expect revenue to come in between $4.098 billion and $4.138 billion or up 7% to 8% on an as reported and organic constant currency basis. We expect our organic constant currency growth, excluding mortgage to be up about 4% to 5%. For our business segments, we expect U.S. markets to grow mid-single digit or up low-single digit, excluding mortgage. We anticipate financial services to be up low double digit or low-single digit growth, excluding mortgage. We expect mortgage revenue to increase about 50% based on mortgage inquiries being down over 5%. We expect inquiries to be down roughly 5% in the second half of the year. We expect emerging verticals to be up low single digit. We now expect Consumer Interactive to increase low-single digit, an increase from down low-single digit due to the breach wins. We continue to expect international to grow low-double digit. Turning back to the total company outlook. We expect adjusted EBITDA to be between $1.455 billion and $1.485 billion, up 8% to 11%. That would result in adjusted EBITDA margin being 35.5% to 35.9% or up 40 to 80 basis points. We anticipate adjusted diluted EPS to be $3.78 to $3.90, up 12% to 16%. We expect our adjusted tax rate to be approximately 22.5%. Depreciation and amortization is expected to be approximately $530 million. We expect the portion, excluding step-up amortization from our 2012 change in control and subsequent acquisitions, to be about $245 million. We anticipate net interest expense will be about $250 million for the full year. We expect capital expenditures to be about 9% of revenue. We continue to expect to incur approximately $200 million in onetime charges in 2024 related to our transformation program. Before wrapping up, I want to summarize the drivers of our guidance raise from what we guided in April. The increase in our revenue and adjusted EBITDA guidance is driven by two factors, first is our outperformance in the second quarter as we exceeded the high end of our revenue expectations by $15 million and adjusted EBITDA by $5 million; second, we expect our large breach wins to contribute roughly $40 million of revenue and $5 million of adjusted EBITDA in the second half of the year, with the vast majority recognized in the third quarter. The margin profile of breaches can vary depending on the services offered. With the acquisition of Sontiq, we are now able to play a meaningful role in the breach market with end-to-end services to meet the needs of a particular event. The large breach wins we are servicing now utilize all of our services, including print notification, which collectively are lower margin. By comparison, the numerous small breaches we continue to win typically utilize the higher-margin services. These large breach wins build our momentum, credibility and relevance in the growing space. Importantly, excluding the breach benefit, our expectations for the second half of the year are unchanged from April as we maintain our prudent guidance approach. We continue to expect healthy revenue growth and strong underlying margin expansion in the back half of the year. We are pleased with the progress on our transformation programs and remain well on track to deliver at least $65 million of savings throughout 2024. I'll now turn the call back to Chris for some final comments.
Chris Cartwright : Thanks, Todd. And to wrap up, we exceeded second quarter expectations driven by mortgage growth and broad-based outperformance in emerging verticals in International. We achieved key milestones against our transformation and technology modernization programs reinforcing our confidence in delivering against our financial commitments. And we're raising our 2024 guidance behind the strong second quarter results and our recent breach wins. We remain focused and confident in delivering strong results in the current low growth market environment. Now let me turn it back over to Greg.
Greg Bardi: That concludes our prepared remarks. For the Q&A, we ask that you each ask only one question so that we can include more participants. Operator, we can begin the Q&A.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And the first question will be from Jeff Meuler from Baird. Please go ahead.
Jeff Meuler : Yeah, thank you. Good morning. So I want to ask about card and banking and consumer lending, I guess, both in the quarter and going forward from the standpoint that it sounds like market conditions are stable, but your numbers got a little bit worse in the quarter on a year-over-year basis. So what drove that? And then going forward, I hear you on the benefit from the easier comp, but at what point do we see greater, I guess, underlying improvement beyond the using comp benefit, especially now that DQs are starting to level off given that they're further along in the normalization process. Thank you.
Todd Cello : Hey, good morning, Jeff. This is Todd. Thanks for the question. So as it pertains to financial -- let's talk about financial services just in total, excluding mortgage. I know your question is about card and banking and consumer lending. But in the first quarter, we did grow 1%, and we just reported a decline of 2% in the second quarter. What we think is a more instructive way to look at it is to look at what actually happened in the first half of the year. And when you look at it on that basis, everything was pretty much flat. What we see there is simply a continuation of the trends that we saw exiting 2023. Needless to say, in Q3 of 2023, we saw a step down. And we've been pleased with what we characterized in our prepared remarks as a stabilization in our volumes. So when you look at the second half of the year, to your point, the volumes comparisons will definitely get easier where we're expecting in the third quarter, a low-single digit growth rate for financial services ex mortgage. But when you get into the fourth quarter because remember, the step down that we saw in 2023 was started really in September. So you saw the full run rate of that happen in the fourth quarter of 2023. So the comparable there look is about a mid-single digit grower in the fourth quarter that we're expecting. A lot of the focus, and rightfully so, is on how our volumes are performing, but it is also important to note that we do continue to win meaningful new logos, new business, as well as we've been successful within financial services and cross-selling Neustar capabilities. So the point in that is it's important to look at this a little bit more broader than just the volumes because there are other places that we have had some success.
Chris Cartwright : Yeah. I would just reinforce a couple of points. I mean we view this as stable market conditions, even though technically, we are a bit negative in the two categories that you pointed out. I mean, naturally, you are going to expect some variations in and around the floor. And so we think these fluctuations are within a stable, but muted, lending environment. I think the more important takeaway is that we are demonstrating that, through our diversification and overall business model strength, we can grow even when the conditions are muted. And so we've got nice top-line growth, good fall-through margin improvement and the ability to delever despite the fact that we're still in kind of a stable -- I mean, kind of a stable, but depressed, market conditions. Now looking forward, when do we think we're going to actually start to see growth beyond just steady conditions against easing comps? Look, it's tough to predict, but the consumers are holding up pretty well because they're employed and they're enjoying some real wage growth. There has been increasing distress among sub-prime and lower-income consumers, but we think some of that is moderating. And as you point out, delinquencies are easing. The deposit bases within the banks are stabilizing. And I think that means we're getting closer to market conditions, where marketing activity and the customer acquisition is going to improve. Of course, if the Fed does come through with any rate reductions in the second half of the year, that would be additive to our forecast at this point.
Operator: Thank you. And the next question will be from Andrew Steinerman from JPMorgan. Please go ahead.
Andrew Steinerman : Hi. Glad to hear that Neustar's revenue growth was solid in the quarter and on track for the year. Could you just give some more color on what's driving Neustar's revenues within the marketing and fraud solutions? And how is joint product development going traction in joint product development products that have been introduced? And lastly, is Neustar still expecting to have EBITDA margins around 32% this year?
Chris Cartwright : Well, first, quickly on the margin question because that's probably faster to address. Yes, 32% is our guide for the year. And we do believe that there's upside to those margins as we complete the realization of the acquisition synergies as we complete the technology modernization that we outlined in the third, fourth quarter environment last year. And also, as we return to more normalized marketing conditions, marketing has been in retreat for about 12 months plus now and our marketing products tend to be higher margin than the communication products because there's a lower cost of goods sold associated with them. So we also have some mix headwinds that are keeping Neustar margins a little bit lower than we expect in more normalized conditions. Now if you look across the board, we're having a pretty good year in fraud with Neustar, we're having a softer year in marketing relative to our guidance, and it's because of the pressures on businesses to find efficiencies in marketing in a more difficult environment. And we're doing pretty well on communication solutions, in particular, the subcomponent of communications, which is Trusted Call Solutions where we're getting really outsized growth because we've got a product that's getting great market acceptance, and we're going to continue to ride that. On the innovation front, we are very close to launching the next generation of our integrated marketing products, a unified marketing solution that combines the best of heritage TransUnion and Neustar on a single integrated platform. And that's one of the reasons why we took the time in this earnings call to focus on the many components of OneTru in the tech transformation because this next-generation solution is built upon OneTru. And also on OneDev, the underlying foundation. And it's going to bring together all of the data, the marketing audience data, all of the identity data and resolution capabilities in the range of identity, hygiene, audience planning, activation and media measurement services in a single integrated system. So we expect that to launch late third quarter. And rolling into next year, we think we're going to see material acceleration in growth there regardless of market conditions. We're also excited because we've achieved the same kind of product innovation milestone in the fraud world. We are launching the next-generation TruValidate fraud solution. We highlighted it in my section of the earnings. You can see it performs dramatically better. And it's been a point of integration and consolidation of the various fraud solutions that we have either acquired or built in different geographies through the year on the common Neustar platform. And by aggregating all of that signal and bringing advanced analytics against it, we're able to identify fraud far more effectively, but also reduce false positives, which saves our customers a lot of needless labor. So I'd say in the broad, Andrew, we're kind of moving from the acquisition integration phase, and we're kind of deeply now in the acquisition innovation phase.
Operator: And the next question will be from Faiza Alwy from Deutsche Bank. Please go ahead.
Faiza Alwy : Yes, hi. Thank you so much. So wanted to talk more about emerging verticals beyond Neustar? You've done well in the first half, you highlighted 4% growth, but you're still keeping the low-single digit growth outlook for the year. So just curious on some puts and takes there and how we should be thinking about the back half?
Todd Cello : Good morning, Faiza. I'll take that question. Yes, we are pleased with the performance that we've had thus far with the emerging verticals, in particular, growing 4% in the latest quarter, but there are several moving pieces that I do feel are important to walk through. In our prepared remarks, we did speak about some good growth that we are seeing in insurance. The insurance vertical grew 6% in the quarter. As we think forward about that business, marketing continues on the recovery, which is a positive thing for the industry overall as rate adequacy has improved. And we're also seeing some strong shopping activity by consumers. So we expect that to continue on. Within the Emerging Verticals, it almost like I would think about segmenting where the growth came from. So insurance is clearly the standout because of its size and the growth that we're seeing, but also in the quarter, we saw good growth in public sector, which was a double-digit grower, broad-based, but the public sector business does have some project work in it, so that can be uneven from quarter-to-quarter, but nevertheless, was a meaningful contributor to the growth rate. Also, our tech retail and e-commerce and our media vertical grew greater than the 4% for Emerging Verticals overall, which we view as a very solid result because much of the marketing revenue that we just spoke about from Neustar and the joint capabilities that TransUnion has created, they reside in these two verticals. So when you look at insurance, public sector, tech retail, e-commerce, media that's where the vast majority of the growth is coming from. Offsetting that, we are seeing our collections business still growing, but lower than the overall growth rate for Emerging Verticals. And as we said in our prepared remarks, the tenant and employment business declined, but we expect that those declines have dissipated. We know they have, and we're going to see this business return back to growth with our recalibrated product offering. And then finally, something I always keep in mind, Chris just talked about our communications product suite, which TCS is part of, but our communications vertical houses many of the legacy Neustar products that are slow -- flattish to slow or declining growth and they're going to be a drag. So the net-net is you see some good growth from the vast majority of these verticals and then there are some offsets that are there. Thinking about this just relative to our guide for the second half of the year. As we said, we didn't change the guide. So with that being said, I think that we look at this and say that the risk in the Emerging Verticals skews more to the upside than to the downside for all the reasons that I just went through for each of the Emerging Verticals.
Chris Cartwright : Yeah. And I think that's just kind of an important point philosophically to emphasize really to all of the analysts and investors on the call is that we're maintaining our guidance posture of beat and hold as opposed to beat and raise, right? And so we're letting the beats flow through, but we're maintaining the same conservative expectations in the future quarters in the second half of the year that we did at the outset of the year. And we think that's more prudent given the gyrations in the macro market over the past couple of years and some of the difficulty in forecasting the business. And we feel like we're well positioned to deliver against the guidance that we're reinforcing in this call.
Operator: And our next question will be from Toni Kaplan from Morgan Stanley. Please go ahead.
Toni Kaplan : Thanks so much. I think this was touched on a little bit, but just wanted to really nail it down. You mentioned that you didn't change sort of your guidance expectation. So I definitely appreciate that. But backing out the breach wins, your 3Q organic growth guide implies a bit of a deceleration in organic growth. And so maybe just talk about what the slowdown implied would be from? And maybe it's just conservatism, but are there specific headwinds to call out or really, is it just you wanting to really be able to show good numbers and be conservative? Thanks.
Todd Cello : Toni, I'm glad you asked the question because it's an important point. And it really just kind of reinforces the point that Chris just made in that when you look at the -- our performance, and let's do this for TransUnion in total, excluding mortgage. In the first quarter, we grew 5%. Second quarter, we grew 4% and now the growth rate at the high end, we're saying excluding the breach, because the breach wins that we've had a onetime nature, we'd be at about 3.5% in the third quarter. And then you can do the math and the implied is going to be about 3% for the fourth quarter. So clearly a step down from what we've seen. But just simply put, as Chris just said, we just feel it's the prudent thing right now to not get in a situation where we're raising expectations because the business in core financial services, I answered previously, it continues to be stable. We haven't seen that uptick yet happen. So as a result, we think what's best is for us to stick with the numbers that we put out going back to February for the second half of the year because things do still remain uncertain for us. So that second half guide is unchanged. And again, reinforcing no assumption of a lending recovery or any type of marketing recovery, benefit from a Fed rate cut. And I'll just leave you with Q1 and Q2. We guided 2% to 3%, and we were fortunate to be able to outperform that. And I can tell you that, that is what the team is working towards to do that in the second half of the year.
Operator: Thank you. And the next question will be from Kelsey Zhu from Autonomous. Please go ahead.
Kelsey Zhu : Hi, good morning. Thanks for taking my questions. So on breach revenues, I think you mentioned large breach wins in the quarter. I was wondering if you can give us a little bit more details on that. I think breach revenues are generally hard to forecast and can be lumpy. So what's the sustainable level of growth in your view? And then on top of that, if you could tell us a little bit more about the competitive landscape there, that would be great because Experian also highlights that there's strong growth there.
Chris Cartwright : Yeah, Kelsey. Well, breach is a large and growing market. And you only have to follow the news for a few weeks, and you're going to see major companies sustaining breaches. With the acquisition of Neustar -- I'm sorry, with the acquisition of Sontiq, and the investments that we've made, we feel like we have emerged as a significant player in breach now. And our brand is such that we are kind of in the deal flow, and we've got the broad set of capabilities to service small and large needs alike, reach needs that skew through the physical or the digital. We've got the comprehensive range of services and we're going to compete more effectively win share and have a higher sustainable level of breach revenues. Now that said, you are correct. These deals are episodic. Sometimes, you're going to have big ones, sometimes we may not have the big one in the quarter. And that's why we've taken pains to really call out this higher than usual level of breach wins in the third quarter. I think it's also important to understand that these breach wins come with attractive margins. They may not be quite as high as our enterprise margins in total, but they're not dramatically different, right? So I would hate for an analyst to look at what we're reporting in the third quarter and conclude that, that's the typical margin of the breach business. Third quarter financial performance really is just about the timing of revenue arrival against the expenses. And on these particular breaches, we're doing broad physical notification through the mail, and we're just paying a lot of postage. What it doesn't include is the much higher tail of revenue that's going to continue for the next year or two related to the digital services associated with these wins. So we look at the breaches on a deal-by-deal basis, they are attractive to margin, it's fast growing. And we think we're much better positioned to compete for them going forward.
Operator: And the next question will be from Manav Patnaik from Barclays.
Manav Patnaik : Thank you. I just wanted to ask on that seven product suites that you showed. It sounds like you've grouped all the offerings into that. But is that internally, I suppose, is the leadership aligned by each of those? Or is it more by the segmentation you provide just wondering how interconnected these things are? Or are they really being separated into these seven product offerings or brands, rather?
Chris Cartwright : Yeah, Manav, I love the question. So let's talk about our global operating model. Certainly, we've got countries and we have vertical leadership within those countries that focus on the specific wants and the needs and the use cases for our products that are most relevant within those verticals. But we also have a parallel product organization, our solutions organization. And we have defined leadership and product management teams that align directly to the product families that you see. So if you were here, I could introduce you to our marketing lead, our fraud lead, our consumer lead, et cetera. And so it is much like a large global software company that's going to have a product leader overseeing a particular category of software or a consumer packaged goods company that's going to have a category manager. But then they are interfacing with the folks that lead the go-to-market in the countries or the specific verticals.
Operator: Thank you. And the next question will be from Heather Balsky from Bank of America. Please go ahead.
Heather Balsky : Hi. Good morning. Thank you for taking my question. I wanted to ask a question on Consumer Interactive outside the breach. You talked about nearing an inflection in that business. I'm curious if you can talk a little bit more about that, what you're seeing and what gives you confidence in the business accelerating.
Chris Cartwright : Yeah. Good question, Heather. So we talked a lot about a consumer in recent calls and the three portions of consumer. And that the most challenged one has been the direct-to-consumer subscription business that we have through transunion.com and other properties. And what we're seeing now is that the rate of decline is slowing and slowed in the second quarter. We expect it to slow further in the third and reach kind of an equilibrium point or kind of low-single digit declines by the fourth quarter of this year. And that will really reduce the drag on earnings from this piece of the business in the larger indirect piece where there has been really a mix of success for the freemium players and revenue pressure from the subscription players and just more kind of competition for share in that, we're seeing stabilization, and we're getting growth out of that segment. And then what's really helping our results the most is the multiyear mid-double digit compounding that we're getting out of Sontiq. So Sontiq grew 20% last year, it was a great year, driven in part by success in breach, but also in underlying identity subscription sales. And this year, we're positioning ourselves for another year of really strong growth. Now stepping back a bit, we still firmly believe that we're going to return the consumer business in total to consistent revenue growth, to consistent compounding. And we're going to pursue each of the monetization options to make that happen. So we're going to continue to do well on the subscription front. We're going to improve our capabilities in terms of offering supporting offers directly to consumers, both through our web properties, but also enabling other players to do so in the marketplace. And we're going to build upon the momentum in identity and breach remediation.
Operator: Thank you. And the next question will be from Shlomo Rosenbaum from Stifel. Please go ahead.
Shlomo Rosenbaum : Hi, thank you very much for taking my questions. Just I want to just -- one clarification thing and then to jump on to one other item. Just -- was there any unusual breach activity in the current quarter in the 2Q '24, just because the bottom of Slide 12 says on Consumer Interactive, indirect growth led by breach. I want to know if that is for some of the unusual activity you talked about that's heading in 3Q. Did any of it kind of pop into 2Q? And then the more important question is, Chris, where you guys stand in terms of the transformation project? Are you tracking in line, ahead? I'm not just talking about the costs, I'm talking about what you expect to get out of it, the timing of the project and your optimism about the success?
Chris Cartwright : Okay. Well, thanks for both of your questions there. And look, there was nothing unusual in the breach activity I mean the only, I guess, unusual or new thing is our ability to compete and win these big breach jobs. And we won several of them, and we're getting the benefit of that in the third quarter, but the second quarter, it's not really a factor.
Todd Cello : Well, we have it on the slide, right? So that's what he's responding. That's what he's asking about. So we did have -- in our indirect channel, Shlomo, all we're doing is just characterizing where the growth is coming from in that channel and indirect, remember, it represents breach, but also our business with the premium players, the offer aggregators as well. So the point there is just that breach was the driver of the growth.
Chris Cartwright : Right. In the indirect?
Todd Cello : Right, in the indirect channel, correct.
Chris Cartwright : The people's breaches as opposed to our own. So -- but then moving on to your question about the technology transformation, which again we spotlighted in this quarter, I feel like we are making great progress. We are well at pace to achieve the technology transformation benefits. Certainly, the ones that we outlined in the third quarter call from last year, and you're going to see a good deal of savings in 2024 because of those activities. And then the longer pole in the tent was the technology-specific savings that are largely enabled by OneTru that will come a little bit later, but we're definitely tracking to that. But just something I said earlier, we focused in the early days after our acquisitions on achieving integration savings and those are well in hand. The $80 million plus that we guided for Neustar and all the acquisitions for both Argus and Sontiq, we're very confident about delivering that, but what we've really been focused on now is reengineering our products in these integrated product suites in the seven families, leveraging what we think are best-in-class underlying platforms. OneTru, certainly, which includes the guts and the intelligence of all information products, be it data management, identity analytics and the ability to flexibly deliver that to the upstream product families. And of course, this underlying infrastructure utility layer, which we can now standardize across TransUnion, across all the products that reside on the suite, which is going to simplify a lot, take a lot of cost out and free up engineering cycles.
Operator: Thank you. And ladies and gentlemen, our final question today will be from Andrew Nicholas from William Blair. Please go ahead.
Unidentified Analyst : Hi, good morning. This is Tom Rush [ph] on for Andrew. I want to touch on auto and ask if you saw any disruptions in the quarter from the CDK outage. And if there was any disruptions, are you kind of expecting a delay to impacting auto sales to up out July and third quarter volumes? Thank you.
Todd Cello : As far as you go back to our prepared remarks, auto, we were pleased with the performance. We grew 3%. We saw a little bit of impact from that situation. And as we look forward into the second half of the year, again, kind of small impact. If it was something of significance, we would have flagged it for you. So we feel that it's managed. Perfect. That brings us to the end of today's call. Thank you for your time, and have a great rest of the day. Thanks.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.